Operator: Greetings, and welcome to Summit Materials First Quarter 2016 Earnings Conference Call. [Operator Instructions] As a reminder, this conference is being recorded. 
 It is now my pleasure to turn the call over to your host, Rodney Nacia, Investor Relations. 
Rodney Nacia: Good morning, and welcome to Summit Materials first quarter earnings call. Today, we are joined by Tom Hill, Chief Executive Officer; and Brian Harris, Chief Financial Officer. We issued a press release this morning detailing our first quarter 2016 results and published an updated supplemental workbook, highlighting key financial and operating data, which can be found in the Investors section of our website at summit-materials.com.
 This call would be accompanied by our first quarter presentation slides, which are available by accessing the live webcast in the Investors section of our website. 
 Turning to Page 2. I would like to remind you that management's remarks and answers to your questions on today's call may include forward-looking statements, which, by their nature, are uncertain and outside of Summit Materials control. Although these forward-looking statements are based on management's current expectations and beliefs, actual results may differ in a material way. 
 For a discussion of the some of the factors that could cause actual results to differ, please see the Risk Factors section of Summit Materials Annual Report on Form 10-K filed with the SEC on February 22, 2016. Additionally, you can find reconciliation of the non-GAAP financial measures discussed in today's call in this morning's earnings press release. 
 With that, I'll turn the call over to Tom. 
Thomas Hill: Good morning, and thank you for joining our first quarter 2016 earnings call. To start off today's call, I will begin with a brief overview of our business, followed by a review of our operating highlights for the quarter. Brian will then review some first quarter financial metrics followed by a question-and-answer session. 
 Turning to Slide 4. With over 2.5 billion tons of well-located reserves serving our Aggregates and Cement businesses, we are well-positioned to capitalize on the continued improvement in our markets. Demand is increasing across all 3 of our end markets: Residential, nonresidential and publicly funded infrastructure. Private residential and nonresidential starts remain well below peak levels, and infrastructure end markets are poised to benefit from expanding federal and state funding. We believe we're in the early stages of this construction cycle and that with our unique acquisition strategy, we will benefit from scalable national operations and local entrepreneurial leadership. 
 Our successful integration and improvement of acquired businesses contributed to our impressive first quarter incremental margins of 86% in our Aggregates operations. Our adjusted EBITDA improved 480 basis points in the quarter, primarily on the strength of our resource-based materials businesses. On an LTM basis, this comprised 62% of our adjusted EBITDA.
 Turning to Slide 5. Summit began 2016 with a strong quarter. Our solid performance included a 19% increase in our revenue due to volume and prices increasing among most of our lines of business. As markets improve, we continue to focus on our profit improvement strategies, which have contributed to expanded margins. This momentum helps us improve our gross margin by 440 basis points to 25% for the quarter. Our operating leverage resulted in gross margins, outpacing the increase in revenue. The larger proportion of activity from materials, coupled with lower energy costs, also contributed to this quarter's strong incremental margins.
 Our adjusted EBITDA increased by $9.8 million in the quarter. This was the first positive EBITDA start to the year that we have had in our history. Our adjusted EBITDA margin improved to 480 basis points to 4%. Our adjusted loss per share was $0.42, an improvement of $0.08 from the prior year quarter. So far this year, we have spent $39 million in capital expenditures on plant upgrades and rolling stock. We remain committed to investing in our business for the long term.
 Turning to Slide 6. Since Summit's inception, our strategy has been to develop significant scale by acquisition, both platform and bolt-on. To date, we have completed 41 acquisitions. In the first quarter, we successfully executed this strategy with the acquisitions of a Boxley Materials Company in Virginia and American Materials Company in the Carolinas. These acquisitions allowed us to expand our presence in the attractive Mid-Atlantic area. I welcome all of AMCs and Boxley's employees to Summit. 
 Turning to Slide 7. As you saw on this morning's announcement, we recently closed on Sierra Ready Mix, our 41st acquisition. We look forward to working with our new team in Las Vegas and believe this company is a great fit with our existing operations in the West segment. The Sierra acquisition brings both a first-class management team and superb assets to Summit in the expanding Las Vegas market. This market is in the early stages of a cyclical recovery after a steep decline post of the financial crisis. We believe there also a number of bolt-on opportunities that would sit well with these new operations in Nevada.
 Slide 8 outlines the outlook for highway market in our main states. In 2015, about 40% of Summit's revenue was derived from the public end market. In the U.S, approximately 50% of the highway spending is sourced federally with the other half, state and local. The recent passage of the 5-year Highway Bill or Fast Act in December 2015 provides enhanced visibility for federal highway spending. In addition, many states have commenced initiatives to increase the funding for highways, while others are in more preliminary stages. This effort is not uniform across all of our states, but the overall trend is positive.
 In 2015, approximately 60% of our revenue came from residential and nonresidential construction. On the residential side, U.S. housing starts were approximately 1.1 million in 2015. This is well below normalized levels of 1.5 million to 1.6 million. With population growth and expanding job markets, we believe housing starts will continue to show improvement for a number of years. 
 In Texas, despite lower oil prices, the residential outlook is still positive. Single-family residential permits are expected to increase by 9% in 2016. Specifically, in Houston, residential demand has softened slightly. But then entry-level homes in the West and Southwest part of the city where we operate, demand has remained steady. 
 In Utah, the residential market has been a standout with housing continued to outpace the national average, supported by a low unemployment rate of 3.6% versus the national average of 4.9%. 
 As for nonresidential, we primarily participate in light commercial, such as hotels and retail centers. This end-use typically follows residential development. Kansas and Missouri have positive nonresidential outlook supported by expanding job markets and increasing population trends. Commercial construction spending is expected to increase 23% and 4%, respectively, in these states.
 Although we cannot control the pace of this recovery, we remain focused on improving our pricing and reducing costs. This focus on internal improvements and the tailwinds from the construction cycle give us tremendous confidence going forward.
 Now I would like to turn of the call over to Brian, who will take us through our first quarter financial metrics beginning on Slide 10. 
Brian Harris: Thank you, Tom. We're off to a good start in 2016 with the continuation of the momentum we experienced in 2015. We reported an increase in net revenue of 19% to $208 million and adjusted EBITDA improved $9.8 million to $8.4 million. To provide context, I'd like it to walk you through some of the details and drivers behind these numbers.
 In Q1 2016, prices increased across all lines of business on a reported and organic basis. Aggregates prices increased 9% in the first quarter, reflecting the benefits of successful price increases implemented over the past 18 months. In our combined Cement operations in Davenport, Iowa and Hannibal Missouri, average cement prices increased 7% in the first quarter, mainly reflecting price increases put into effect in 2015. Additional cement price increases in several of our markets went into effect on April 1, 2016. 
 Ready-mix concrete price growth was moderate and asphalt pricing was lower than the prior quarter, mainly reflecting lower liquid asphalt input costs and regional mix. This overall price momentum helped us achieve an incremental gross margin of approximately 48% for the quarter.
 Underlying volume growth with stronger overall and acquisitions contributed additional growth, primarily in Cement. The Davenport acquisition completed in July 2015 drove significant increase in cement volume. Aggregates and ready-mix organic volumes grew in the single digits and were in line with expectations and enhanced by acquisitions. Asphalt volumes were lower in the quarter due to increased competition in Austin, Texas. 
 Moving on to Slide 11. We were pleased to achieve Aggregates incremental margins of 86% for the first quarter. Total gross profit increased approximately 44%. As a percentage of net revenue, gross margin in the first quarter expanded to 25% compared to 20% in the prior year. We had a 910-basis-point increase in the mix of our gross profit from higher-margin materials during the first quarter due to our acquisition of the Davenport assets and recent aggregates-based acquisitions. 
 In products, we achieved 410 basis points of gross margin expansion, including the benefit of lower energy costs. Adjusted EBITDA margin improved 480 basis points in Q1 2016, largely as a result of our ability to increase prices organically, integrate our acquisitions and effectively manage our costs. A larger proportion of higher-margin materials and product revenue assisted as well.
 Moving on to our balance sheet and liquidity on Slide 12. This quarter, Summit raised $250 million of 8.5% senior notes due 2022. We use these proceeds to fund the acquisition of Boxley, replenish cash used for the acquisition of AMC and to pay related fees. We ended the quarter with a prudently levered balance sheet and ample capital resources to continue executing our strategic growth initiatives in a disciplined manner. 
 We intend to remain methodical with our capital utilization with the long-term objective of reducing our leverage multiple through earnings growth. To the 8.5% senior notes, our annualized interest expense is approximately $87 million on our long-term debt.
 At quarter end, we had total outstanding net debt of $1.5 billion. Our cash balance was $92 million, and we had $210.6 million of availability on our revolving credit facility, which is net of $24 million of outstanding letters of credit. We ended the quarter with total net leverage of 4.5x.
 In Q1 2016, we spent $33 million on net CapEx on plant upgrades and rolling stock compared to $15 million in the prior year. As a reminder, our first quarter is typically our seasonally lowest cash flow quarter. 
 Looking ahead to the remainder of 2016 on Slide 13. Our business has been performing as anticipated and demand is improving in our markets. We're also optimistic about the impact from recent federal and state legislative acts. We now expect our full year 2016 adjusted EBITDA outlook to range from $350 million to $370 million, and by way of reminder, this increase range includes the successive period for AMC, Boxley and Sierra completed in 2016. These 3 acquisitions exceeded our $30 million annualized EBITDA target, including synergies. However, we remain committed to growing our business through acquisitions in a disciplined manner. Our deal pipeline remains healthy, and we are confident about our ability to grow and add value, both organically and through acquisitions. 
 The potential upside from any future acquisitions is excluded from our stated adjusted EBITDA guidance range due to the unknown timing of any future acquisitions. The impact of any future acquisitions will be incorporated as appropriate.
 We continue to expect gross capital expenditures to be approximately $150 million to $170 million in 2016. This number includes maintenance CapEx and several profit improvement projects mainly in our aggregates facilities to improve efficiency and increase capacity. Over the long term, we expect our CapEx to be 6% to 7% of net revenue composed of 70% maintenance and 30% investment spend.
 And with that review, I'd like to turn the call back to Tom for some closing remarks. 
Thomas Hill: Thank you, Brian. In summary, we are off to a good start to the year with a strong first quarter. We continue to be committed to providing a safe working environment for our employees and being good corporate citizens in the local communities that we serve. We are pleased with the progress we have made and excited about our future. 
 We are now happy to take some of your questions. Operator, can you please open the lines to Q&A? 
Operator: [Operator Instructions] Our first question comes from Rob Hansen with Deutsche Bank. 
Rob Hansen: So first question. I just wanted to confirm that the guidance raised was just for acquisitions. And then secondly, if you think about your different end markets, you gave some good color there, if you could kind of rank what you're seeing as the most growth and the outlook and how that relates to your outlook for this year? 
Thomas Hill: I'll let Brian talk to the guidance range and I'll talk to the end markets. Brian? 
Brian Harris: Yes. So the guidance range, we've increased it by $25 million at the bottom and the top. It reflected the acquisitions. 
Thomas Hill: And then on -- and just on general end markets and end demand, we have a backdrop where, nationally, we're seeing res, non-res and public all increase with good, strong outlooks. But this being a very local business, what counts is what's happening on the ground. So I'll give you a little bit of color as far as some of the local demand trends. We're seeing really good momentum and building momentum, both in Utah and in British Columbia, and also in Texas highways. They're very strong with the prop 1 money having already being let, and prop 7 money looking like it's going to let next year. So good momentum in those markets. 
 In the East, we're seeing more steady, lower but steady growth in Kansas, Kentucky and Missouri with positive private markets offset a bit by some weakness in highways in Kansas and Kentucky. And then we're really seeing good underlying demand in our new Mid-Atlantic platform in Virginia, North and South Carolina, and that really goes across all 3 of those end users, res, nonres and highways. 
 On the Cement side, where we service up and down the Mississippi from Minneapolis down to New Orleans, we're seeing this good, solid demand, again probably mid-single digits across all of the end-users and all of those markets. So good, steady demand on the Cement side. Is that what you were looking for, Rob? 
Rob Hansen: Yes. Yes, that's very helpful. The second thing I wanted to ask, though, was just the Sierra acquisition. I wanted to try to get a few more details. Was this a competitive bid? Or was this a situation where they came to you and then -- what's the aggregate reserves look like? And then just on the market share, I think you mentioned that it doesn't -- that, that doesn't have any infrastructure exposure. So how does that -- I guess, how are you getting to that market share calculation? 
Thomas Hill: Sierra, it was not a competitive auction. And we were in contact with them for a while. It's a really nice, fine business. They have a big sand and gravel site to the south of Las Vegas and they cover the entire metro area from 2 ready-mix lands, 1 north and 1 south. We cannot -- we're not going to give any more detail on that, really for competitive reasons. It's -- we just don't really -- on individual acquisitions, we're really not going to give any more details on that. 
Operator: Our next question is from Jerry Revich with Goldman Sachs. 
Brandon Jaffe: ]
 This is actually Brandon Jaffe on behalf of Jerry. On Aggregates pricing, just to start, last year, you put through sequential price increases over the course of the year. How did you think about the opportunity to do that this year? 
Thomas Hill: As always, it really is up to the local market what pricing increases the market can take. And we do believe that when all is said and done, we're going to end up in mid-single digits price increase in ags. I'll give you a little bit flavor for what's been announced so far. In Kansas, we've had price increases in the 4% to 5% range that went into effect in January. In Utah, 5% to 6%, effective April 1. We're seeing really good progress in Texas with a high single, low double digits price increases announced for midyear. And this is on top of a double-digit price increase at the end of last year. I think it was in September. So we're seeing good progress. So it's sort of a continuation of the same trends we had last year. But the environment for price increases is quite good on the aggregate side. 
Brandon Jaffe: Okay. And can you talk about some of the pricing opportunities on your recently acquired businesses on prior acquisitions? You've been able to improve pricing by about 2% relatively quickly. How does that compare to what you're thinking regarding some other recent deals you've made? 
Thomas Hill: Well, in the recent deals, which are Boxley, American Materials and now, Sierra, implementing our IT system, and we're introducing basic pricing methodologies, whether it be tiered pricing or our next best alternative. And it's probably early days. Hard to say, but I'd be disappointed if we didn't see a continuation of being able to add value on the pricing side there in addition to whatever the market is going up. So we're very optimistic about that. But really, on those recent acquisitions, it's just early days. We have seen success in the LeGrand and Lewis & Lewis deals that were done last year. And we expect the same in the more recent acquisitions. 
Operator: Our next question comes from Kathryn Thompson with Thompson Research Group. 
Kathryn Thompson: First on your asphalt group. You've mentioned in the prepared commentary a more competitive market in Austin, which drove softer volumes. Could you just give a little bit more color on that? And is it just purely a function of that off to market and competitive dynamics? Were there any other externalities like weather that played a factor? 
Thomas Hill: Q1 weather did not play a factor. It was probably more normal in Q1. I can't say the same for April, by the way. But we had a new entrant. We put up a couple of asphalt plants and certainly disrupted the market. We see that stabilizing over the next 12 months. But certainly, no impact to both volume and price in the Austin market. To some degree, that's been offset in Texas by a very strong highway market in our Northeast Texas and West Texas, where we have significant operations. But specifically in Austin, it was just the impact of other new entrants. 
Kathryn Thompson: And you're seeing similar trends? Would you see a dissipating trend as the year progresses? Or is it too early to call? 
Thomas Hill: Probably too early to call, but we have a new management team in place in Austin, and we're making very good progress in stabilizing that market. 
Kathryn Thompson: Okay. Follow-up on Cements, 6% increase in the quarter was driven more by price increases last year, but I would assume also just from Davenport in the mix. Could you perhaps break out how much was price increasing versus net? And maybe any additional color on of the $12 dollars per-ton increase that was implemented in April. 
Thomas Hill: Yes. The price increases that were implemented vary from $12 down to $8. In general, the price increases have held quite well. Most of them were effective April 1. So we still expect realization due to the April 1 implementation date in that $6 to $8 a ton range. 
Kathryn Thompson: Okay, great. And then one just housekeeping item. Post-transactions that were listed today, could you give us an annualized D&A running rate? 
Brian Harris: It's about $130 million, Kathryn. 
Operator: Our next question comes from Paul Luther with Bank of America Merrill Lynch. 
P. Luther: Can we -- I want to dive in a little bit more in terms of what you're seeing in terms of Texas. One of your competitors had some relatively sluggish aggregate shipments in the quarter and talked about Houston softness, and you alluded to that briefly in your comments. And you do have a fair amount of residential Houston exposure. So I just want to get a sense maybe if we could drill down in terms of what you're seeing in terms of shipment growth and movement across regions in Texas? 
Thomas Hill: Yes. We do -- we have 4 businesses in Texas. The smallest is out in Odessa/Midland, and it's in the aggregates and ready-mix business. And it certainly has seen oil-related weakness. We're still doing okay there and volumes, I think, have stabilized, albeit at a lower level. But it's, by far and away, the smallest of our businesses. The second is, which I've already talked a little bit about, is our Austin and our Northeast Texas businesses, which are in aggregates and asphalt and primarily service the highway market. We're seeing very, very strong demand on the highway side, especially in Northeast and North Texas. Offset to some degree by, I'd say, a more competitive environment in Austin. And also in those markets, even though it's a smaller part of our business, we're seeing very strong res and nonres growth. 
 Our biggest business in Texas is in Houston. We have a very fine aggregates and ready-mix business that services the West and Southwest part of the city. It also has of the closest aggregate supply with -- we have just tremendous aggregate reserves about 40 miles west near Columbus, Texas. We are seeing in those -- in that -- in the Houston market, we're seeing very strong demand for aggregate. We're up significantly over last year, and we are seeing good solid double-digit price increases on the aggregates side. 
 On the ready-mix side, which primarily services residential but also has a growing nonresidential presence, we're certainly seeing residential weakness. It had been on the higher end, specifically, and more centered on of the north side of Houston that we don't service to a large degree. 
 On the entry-level side, we -- entry-level housing to the West and Southwest part of Houston, we're seeing pretty steady demand. And our ready-mix is, give or take, on par with last year. Our backlogs are very good there. We're very optimistic for the year in total. So strong ag, steady ready-mix, and overall, we're optimistic about our Houston market. 
P. Luther: That's really great color. And then as a follow-up, just -- you showed a really nice aggregates price increase on an organic basis. Was there any geographic or product mix shift that moved that number around? Or is that pretty broad-based? 
Thomas Hill: It's pretty broad-based. There was -- overall, both geographic and product mix would have been limited impact on the quarter. 
Operator: Our next question comes from Brent Thielman with D.A. Davidson. 
Brent Thielman: Tom, Brian, some of the flooding issues in Houston, any comments on that? Had your operations been materially impacted? Is it time to consider something there for the second quarter? 
Thomas Hill: We certainly had a, I think they described it as a 500-year event in rain. It's so early that the first 2 weeks of the quarter were -- had been terrible there. I think with normal level, we'll recover for the quarter. But we certainly could do without any additional wet weather in Texas for the next couple of months, though. We'll -- we've got one of our smaller aggregate site that's going to be down for 30 days. But in a general, we've recovered quite well on of the production side. And the way -- on the ready-mix side in Houston, it's interesting because it's a residential market where most of the concrete is pumped, the trucks don't go on the site. They pull up and the concrete is pumped. It tends to recover from the rain quicker than other markets where the trucks are expected to get on the site. So it's -- yes, I don't think they'll -- I'm hoping with normal weather that we will not be impacted for the quarter. 
Brent Thielman: But no costs associated with asset being managed or something like that? 
Thomas Hill: Not really. I mean, it -- we might have a little bit higher production cost as it's always more difficult to crush wet materials than dry. But I don't think it's material in any way. 
Brent Thielman: Okay, great. And then Tom, when you look at the kind of the key markets driving organic aggregates volume growth this quarter and maybe the last couple of quarters, is it still skewed more towards the private sector versus the public sector? Because when we think about lift in 2017 from the public side, I'm just trying to get a sense of where we're coming from in terms of what's driving performance today or growth today. 
Thomas Hill: We were certainly seeing a lift on highways in Texas. We have not seen the impact of the Fast Act or other state initiatives as of yet. And that should flow through in 2017. But certainly, Texas has seen the impact of prop 1 monies. And the other, just -- it is pretty lumpy on of the private side. Like I say, we're starting to see some strong momentum in Utah. And other markets, in our new markets in the Mid-Atlantic, we're very optimistic for those, both public and private markets. But it varies around the country. 
Operator: Our next question comes from Trey Grooms with Stephens, Inc. 
Drew Lipke: This is actually Drew Lipke, on for Trey. First question that I had was going back to Cement pricing. Can you help us think about seasonality there? I understand when you'd really think about on a year-over-year basis, there was obviously the contribution from Davenport. But with pricing down over a 9% sequentially in the quarter, was of this a mix issue? And can you kind of just help us think through that? 
Brian Harris: Sorry, Drew, I think the Cement pricing was up 7%. 
Drew Lipke: No, on a sequential basis, quarter-over-quarter. 
Thomas Hill: Currently, that's the stuff we haven't focused on, the... 
Drew Lipke: Okay, we can circle back on that. 
Brian Harris: [indiscernible] 
Thomas Hill: I think that has a geographic issue. I think that's -- we'll get back to you on that, but I'm pretty sure it's a geographic issue where, obviously, the further north you go, the more seasonal it is. So I believe that's a geographic issue. But we'll get you that data. 
Drew Lipke: Okay. And then just trends in the West group. You talked about the asphalt and the competitiveness in the Austin market. I'm curious on Mainland sand and gravel. I know you had some large projects that were rolling off there. I think there were some other projects coming out for bid here in that market. Can you just sort of comment on the environment there? 
Thomas Hill: Yes. We have not seen the volume as yet from the additional infrastructure projects, but our bidding activity has really picked up in the last 60 days. So we're very optimistic about -- it probably will be all the way into the fourth quarter this year when that hits. But we're very optimistic, and we see some demand momentum starting to build in that market. And it's -- that business has performed as expected. We knew those big projects were going to roll off. And that's really a fine business, and when the infrastructure business picks up there later this year in 2017, there are some very large projects going on there. We expect demand to recover nicely there over the next 18 months. 
Operator: Our next question comes from Scott Schrier with Citi. 
Scott Schrier: First, I wanted to ask you about 2 key markets that you have, one of them is new, that it seems like it might have tremendous growth opportunities. And I just wanted to see how much better than the company averages these? Could be how much they could push pricing? And ultimately, what kind of competition would enter the market because of that? And that's Utah and Las Vegas. So in Las Vegas, I know that there's a major development there, developing the Summerlin NPC. We have the downtown Summerlin. And then with that, I forgot, over 1 million square feet of mixed use plants. So I just want to see how much opportunity is there? And then likewise on Utah with permits kind of skyrocketing there as well as office vacancy rates declining, how much more upside can we see there? 
Thomas Hill: It's hard to quantify that. But we would be very optimistic, both in Utah and Las Vegas. Vegas was just decimated after the financial crisis. We have teamed up with really a first-class company that's been around for a few decades in Sierra Ready-Mix. They actually did reasonably well through the crisis, and they are really poised to, I think, to take advantage of the upturn there. I think there's both opportunities in Las Vegas both for significant organic growth but also there, the market still has some acquisition, further acquisition opportunities. So we see Vegas as really a start to a real growth platform. 
 Utah, on the other hand, is a fairly consolidated market. There's really 3 main players there, probably limited acquisition opportunities, but that market is really gaining momentum, especially on the residential, single-family residential side, which has really been pretty muted. As far as growth goes in the last few years, we are definitely seeing some significant residential development and are very optimistic for that for the future. It's pretty hard to quantify that specifically, we tend not to give that kind of guidance by state. But both of those, Nevada and Utah, would be 2 areas that we would see significant growth prospects over the next few years. 
Scott Schrier: Sure. Yes, I was just looking for some qualitative comments on that. Next, I wanted to move into the acquisition pipeline, and I know you've met your $30 million of EBITDA for the year. Given where leverage is now and your cash balance, how do you look at, I guess, the urgency to make further acquisitions to consolidate your new platforms at AMC and also Sierra? Are seller expectations going to raise there to somewhat maybe try to stop you from consolidating there? So how quickly do you look to move on consolidating those markets? 
Thomas Hill: We never really feel any urgency. We have a sort of a tried and true acquisition program where if we can meet the seller's needs, which many times are not just financial, and it becomes appropriate and then, of course, we go forward. But we're not -- we're never in any rush. We've certainly established relationships. We have lots of relationships in the Carolinas and in Virginia that we've had for many years. And we're obviously continuing those and aware when it's appropriate for the seller, we hope to do some add-on deals there. And I -- that established a platform, keep contact up with many of the add-ons there. And that's actually something that these platforms bring to us. They also bring the management's relationships with all of these local players also. So it actually helps fill our pipeline, not just with our relationships but with their relationships. So we're very optimistic. The pipeline is really strong right now. We have a number of [indiscernible] out there. We continue to focus on the small bolt-ons. There's a few larger deals out there, but I would -- it's unlikely that we'll participate in those. We like the singles and doubles, and we're going to continue that strategy. 
Operator: Our next question is from Stephen Kim with Barclays Bank. 
James Morrish: This is actually Trey, on for Steve. Yes, definitely a good quarter. I want to just follow-up on the M&A question, just trying to get a better understanding for -- if you have specific geographic priorities. I know you just did well on the platform on the East Coast. So is that some place that you would incrementally look to add new bolt-ons more than  other more established platforms? 
Thomas Hill: Like I say, we don't urgency, but certainly, we have seen over 30 years, when you do enter a market, there is certainly a flurry of activity that goes along with that. So we would be optimistic about some of those turning into deals. But it's not that we take all our resources and focus them on that area. We just continue with what we're doing, and now, we just have an extended geographic area that we work on. 
James Morrish: Got you. And going back, a little bit more thought on acquisitions. Do you have any sense for how much acquisitions that you've done so far this year and you would include in your acquisition-based revenue could add to topline revenues for the year? 
Brian Harris: We don't give revenue guidance, as you know, Trey, but we have included the EBITDA, successive period EBITDA, for all of the acquisitions closed to date in our guidance range. And we increased that, obviously, this quarter by $25 million, primarily reflecting Boxley and Sierra. 
Operator: There are no further questions at this time. I'd like to turn of the call over to Tom Hill for closing comments. 
Thomas Hill: Thanks, everybody, for your time and your interest in Summit Materials. And I look forward to updating you on our progress next quarter. Have a good day. 
Operator: This concludes today's conference. Thank you for your participation. You may disconnect your lines at this time.